Benita Barretto: Good morning. Thank you for joining the Adecco Group's Conference Call today. I'm Benita Barretto, the Group's Head of Investor Relations. With me today are the Adecco Group CEO, Denis Machuel; and CFO, Coram Williams. Before we begin, we want to draw your attention to the disclaimer on Slide 2. Today's presentation will reference GAAP and non-GAAP financial results and operating metrics. This conference call will include forward-looking statements. These statements are based on assumptions as of today and are therefore subject to risks and uncertainties. Let me now hand over to Denis and the results report.
Denis Machuel: Thank you, Benita and a warm welcome to all of you who've joined the call today. Let's turn to Slide 3 which provides an overview of the quarter. The group delivered €5.7 billion in revenue, flat year-on-year on an organic training days adjusted basis. We are pleased to have delivered another quarter of strong share gains and clear outperformance in tough markets, many of which are contracting. The gross margin of 19.8% was 20 basis points higher sequentially and 100 basis points lower year-on-year. It is a healthy result that reflects the current business mix and firm pricing. EBITA, excluding one-offs, was €157 million with a resilient margin of 2.8%. When excluding the impact of the timing of FESCO JV income, the margin is 10 basis points lower year-on-year. Adjusted EPS was €0.59, 18% lower year-on-year, mainly reflecting lower business income. Net debt to EBITDA ended the quarter at 2.7x, in line with management expectations. And cash performance improved with free cash flow of minus €93 million, better by €72 million year-on-year and a cash conversion ratio of 73%. Overall, the group demonstrated strong operational progress in the first quarter. Moving now to Slide 4 and an update on the G&A savings program. The group has committed to cutting G&A expenses by €150 million net, equivalent to a 15% reduction and sustaining costs at or below 3.5% of revenues per annum after that. In the first quarter, the group delivered €26 million in net savings versus the 2022 baseline, a 13% reduction. As the right chart shows, savings have been delivered by the three global business units, corporate and across the group's shared functions this Q1. We will continue to execute methodically to capture further savings as we progress through the second quarter. We announced a new organizational structure to streamline leadership roles and group functions this March. And it will be fully operational by midyear. Further, local level optimization, particularly in Continental Europe, is underway. We've also taken a couple of portfolio actions to support savings generation. We will incorporate Hired into LHH Recruitment Solutions, providing customers full access to LHH's more comprehensive integrated offering. In Adecco France, management has exited specific outsourcing contracts which were not reaching our profitability targets. We remain on track to deliver the group savings target of around €150 million net and in run rate terms by mid-2024. Let's turn to Slide 5 and digital developments. Since launching our own SparkAI initiative last year, the group's efforts to harness the transformative power of generative AI have been accelerating. In 2023, the group created many AI-powered initiatives centered on improving productivity and efficiency, such as CV Maker. Out of this, in 2024, we focus on scaling 20 initiatives that offer significant long-term potential. Let me cover three of these now. For largest clients, we're developing our global talent supply chain solution to drive consistent delivery and a better customer experience. Using gen AI, we aim to improve fill rates and recruiter productivity by double-digit percentage. For candidates, in partnership with Microsoft, we are developing an AI-powered Career Copilot. This platform is a career companion that transforms how candidates identify options for their career. It is in a beta phase in two U.S. states with both active candidates from our database and via social media. We learn from live feedback before launching an expanded pilot later this year. Finally, the group is working on a recruiter copilot which aims to automate a significant proportion of the recruitment process. We've completed three proof-of-concept tests and, this quarter, plan to run a more robust version of the tool in the U.S. and in the U.K. While in early stages, we believe that these types of products have an exciting potential to drive efficiencies and to make the group's talented technology solutions offering unbeatable in the market. Let's turn to Slide 6 and the Grow agenda. The left side shows that the group has achieved relative revenue growth ahead of its key competitors for several consecutive quarters. This performance has been underpinned by a cultural change in the group, including a relentless focus on customer satisfaction, rigorous performance management and line incentives. The right side highlights two recent client wins. First, the U.S. Adecco team leveraged an existing professional services relationship with a major U.S. medical device manufacturer to upsell Pontoon's MSP offering. The client particularly valued our expertise in on-site models, our robust processes and the opportunity to optimize their supply chain and better align contractual terms. Second, the U.S. Adecco and Akkodis teams successfully collaborated to present a unique integrated driver onboarding and support services solution to a large mobility company. The group's HR services know-how at scale and in-house technical expertise were key to winning this contract. Let me now hand over to Coram, who will provide details on the Q1 results.
Coram Williams: Thank you, Denis and good morning to everyone. Let's discuss the context within each GBU, beginning with Adecco on Slide 7. Adecco's revenues reached €4.4 billion, 1% higher year-on-year on an organic trading days adjusted basis. Adecco gained further market share with relative revenue growth 600 basis points ahead of key competitors. Revenues were flat in Flexible Placement. In Outsourcing, revenues rose 6%. While in Permanent Placement, revenues rose 1% organically. On a sector basis, growth was strongest in retail and logistics, led by large customers. Autos were robust while manufacturing was weak. Gross margin was healthy, albeit weighed by current geographic mix, for example, EEMENA, Australia and India; sector mix, for example, logistics and autos; and solutions mix. Pricing was firm supported by our dynamic pricing strategy. The EBITA margin at 3% was 50 basis points lower year-on-year, reflecting current mix and a 25 basis point impact from the timing of FESCO JV income which is influenced quarter-to-quarter by government payments. G&A savings and better productivity partially offset these impacts. Gross profit per selling FTE rose 2% while selling FTEs reduced 4%, reflecting the agility with which we manage the business. Slide 8 shows Adecco at the segment level. In France, revenues were 7% lower in a challenging market environment. Logistics, manufacturing, chemicals and retail were weak. France's EBITA margin reflects lower volumes and the exit of specific outsourcing contracts which were not reaching our profitability targets. Importantly, the exit of these contracts does not have a material impact on France's revenues. But costs associated with the exit were incurred in the quarter. Revenues were 6% lower in Northern Europe. Market conditions were tough. But the region performed well compared to competitors. Revenues from the U.K. and Ireland were 2% lower and in Benelux, 1% lower. Revenues were 12% lower in the Nordics, weighed by the impact of regulatory change in the construction sector. In sector terms, financial services were weak and manufacturing was soft. The DACH region's performance was strong with revenues growing 7%. Germany's revenues rose 8%, strongly outperforming the market. Logistics and autos were strong on a sector basis and professional services were solid. The region's EBITA margin was driven by fewer working days. In Southern Europe and EEMENA, revenue growth was strong with Italy up 2%, Iberia up 17% and EEMENA up 13%. The region continued to take share with strong growth across logistics, autos and food and beverages. In the Americas, revenues were 1% lower. LatAm was up 25%, led by Colombia and Brazil. North America was 12% lower, reflecting subdued demand for temp workers across many sectors, including IT tech and autos. Despite this headwind, the business outperformed its competitors and management is staying on course with its turnaround plan. The region's EBITA margin reflects operating leverage in LatAm and an ongoing focus on cost management in North America, partially offset by calibrated investment in the U.S. network to drive future growth. Turning to APAC. Revenue growth was very strong with Japan up 10%, India up 12% and Asia up 4%. In Australia and New Zealand, revenues were 57% higher, boosted by a significant new government contract. The timing of FESCO JV income drove the EBITA margin differential. Let's move now to Akkodis and Slide 9. Akkodis' revenues were 2% lower year-on-year on an organic trading days adjusted basis. Staffing revenues were 20% lower challenged by the continued downturn in tech staffing activity. However, consulting revenues were solid, up 5% year-on-year. By segment, North EMEA revenues were 3% lower, weighed by weaker demand for software development expertise. Revenues in Data Respons [ph] were 8% lower and in Germany, 3% lower. Germany's result was impacted by the repositioning of operations in the Smart Industry and elevated sickness rates. South EMEA revenues were up 1%. Revenues in France were 1% lower with strength in autos and aerospace outweighed by easing demand in financial services and telecoms. Importantly, France's result reflects success in moving some activities to offshore delivery centers. North American revenues were 14% lower, reflecting the continued downturn in tech staffing, particularly in Permanent Placement. Consulting revenues grew 39%. The APAC revenues rose 6% with Japan up 8%. Growth in Consulting & Solutions and high utilization rates supported performance. Despite lower volumes, Akkodis' EBITA margin expanded 100 basis points to 5.8%, reflecting services mix and synergies. We highlight that the quarter's Consulting & Solutions EBITA margin was around 7%. Cost synergy delivery is substantially complete, so management is focused on revenue synergy capture to support the delivery of 2024 synergies of around €75 million. Let's turn to Slide 10 and LHH. Revenues in LHH were down 5% year-on-year on an organic trading days adjusted basis. Recruitment Solutions revenues were 16% lower with the segment continuing to face challenging market conditions, particularly in the U.S. across both permanent and flexible professional placement. Gross profit was 19% lower with the U.S. 20% lower. That said, there were signs of stabilization in U.S. permanent professional recruitment activity sequentially. Career Transitions revenues were up 9%, a very strong result given a demanding comparison period and reflecting further share gains. Canada, the U.K., the U.S. and France all grew well and the pipeline is solid. Learning & Development revenues were 10% lower organically. General Assembly and Talent Development were challenged by their end market. In EZRA, revenues were up 64% organically. And the business exited the quarter with a strong pipeline. Revenues in Pontoon were 8% higher, led by growth in Direct Sourcing activities. MSP and RPO continued to be challenged by the tech sector downturn. LHH's EBITA margin was 50 basis points higher year-on-year at 7.3% with the impact of lower volumes fully mitigated by current segment mix and good cost discipline. Let's turn to Slide 11 to review the group's gross margin drivers. In Q1, on a year-on-year basis and under the group's accounting policies effective from January 1, 2024, currency translation and M&A had a neutral impact. Flexible Placement had a negative impact of 50 basis points, of which approximately 25 basis points reflect the Adecco GBUs' current geographic and client mix and the remainder, GBU mix. Permanent Placement had a 40 basis point negative impact, reflecting lower volumes, while Career Transition had a 10 basis point positive impact. Outsourcing, Consulting & Other had a 20 basis point negative impact due to changes in Adecco outsourcing and lower volumes in Pontoon's MSP and RPO services. In total, the gross margin was 100 basis points lower on both an organic and reported basis. At 19.8%, it is a healthy result in challenging markets. Further, as the right-side chart shows, the margin was slightly improved from Q4's reported 19.6% result under the group's new accounting policies. Moving to Slide 12 and EBITA drivers. On the left, we review the drivers of the group's EBITA margin this quarter on a year-on-year basis. The 30 basis point differential reflects a 100 basis point negative impact from gross margin developments; 40 basis points positive impact from operating leverage with gross profit per selling FTE down 2% versus a reduction in selling FTEs of 5%; a 50 basis point positive impact from G&A savings with costs down 12% year-on-year; and a 20 basis point negative impact from the timing of FESCO JV income. Let's turn to Slide 13 and the group's cash flow and financing structure. As you will recall, the group's cash flow generation is seasonal with Q1 and H1 usually being cash-out periods and H2 being a cash-in period. On a year-on-year basis, cash performance improved this quarter. Operating cash flow was up €49 million year-on-year at minus €67 million. Net working capital was €74 million, favorable year-on-year. Positive payables development was partly mitigated by unfavorable calendar impacts on VAT receivables and on DSO which was 53 days, 1 day more than in the prior year period. CapEx was €26 million and free cash flow was minus €93 million, a €72 million favorable development year-on-year. The rolling cash conversion ratio of the last 4 quarters was 73% which is a robust result. Let me now touch on the financing structure. Net debt to EBITDA was 2.7x at the end of Q1, in line with management expectations. Leverage is not constraining the business' ability to invest organically in growth and pay dividends. The group remains firmly committed to deleveraging, supported by productivity gains, G&A cost reductions, lower one-off charges upon successfully delivering our savings program and lower capital expenditure. Let's turn now to Slide 14 and the group's outlook. Volumes in the quarter-to-date have been stable when compared to Q1 '24 levels. You should also note that revenue developments in Q2 '24 will reflect a slightly tougher comparison period. The group anticipates continued market share gain in a challenging macroeconomic environment. It is managing its resources with agility, focusing on productivity and G&A savings. In Q2 '24, the group expects its gross margin to be broadly in line with Q1 '24 levels. Despite seasonality, SG&A expenses, excluding one-offs as a percentage of revenues, are expected to improve modestly versus Q1 '24. And with that, I'll hand back to Denis.
Denis Machuel: Thank you, Coram. And let's turn to Slide 15. Management remains laser-focused on the elements within our control: competitive outperformance, market share expansion and disciplined execution. The G&A savings program is on track. And at the same time, the group is preserving front line resources, where appropriate, to ensure we can swiftly capitalize on the future market rebound. Thank you for your attention. And let's now open the lines for Q&A.
Operator: [Operator Instructions] The first question is from Varanasi, Suhasini with Goldman Sachs.
Varanasi Suhasini: I have two, please. You mentioned that you had incurred some costs relating to contract exits in France. Can you maybe share some color on how much these costs were? Were they taken above the line or below the line and how the margins are expected to look going into 2Q? That's the first one.
Coram Williams: Do you want to outline your second question and then just say that we've got them both and then we'll work out who answers them?
Varanasi Suhasini: Sure. I think the second one is just on the revenues, please. I appreciate the macro is still challenging. But maybe can you share some color on whether you see green shoots anywhere? Any color on verticals or countries, that would be very helpful.
Coram Williams: Okay. Thank you. So I'll pick up the point on costs of relating to French outsourcing contracts. And I'm sure that Denis will want to comment on green shoots. On the -- actually, I'll pick up more generally on the French margin. So if we look at French margins, obviously, they are down year-on-year. The vast majority of that relates to the lower volumes that we've seen in France. Given what is happening in the market in France, there is a negative operating margin which is putting short-term pressure on the French margins. Within the quarter, we chose to exit a couple of outsourcing contracts. And we did that because they were not reaching our profitability targets and we could not see a path to get them there. In terms of the impact in the quarter, it was about 35 basis points on the French margin and we took those costs above the line. This is all part of our ongoing focus in making sure that we reduce one-offs and we're focused on driving the business through regular course of business. And to be clear, those 35 basis points are just the costs relating to the exit in the quarter. On a go-forwards basis, the revenue and profits relating to those are immaterial for France. So there's no further effect. And then I guess, the other point on France is that we are focused in protecting profitability over time whilst positioning ourselves for the rebound. So it's not that I would expect us to see long-term pressure from the market. But you would expect us to offset that pressure over time by taking cost down to that business. I think Denis will now comment on the wider market conditions.
Denis Machuel: Yes, absolutely. And thanks for your question. Overall, what do we see? We see stability. And the breadth of our services gives us a great perspective on what's going to happen. So we have stable volumes that reflects how solid we are. Of course, we have areas of pressure in several places and you've seen that. We also have areas of growth. And we are strongly convinced that they will continue, particularly in APAC, particularly in LatAm and in a few other areas. We have areas where we see and that's interesting, signs of stabilization. Professional recruitment solutions in the U.S. is demonstrating signs of stabilization. This is very encouraging. Adecco overall is stable. Tech staffing in the U.S., we see early signs of a possible stabilization, even though I wouldn't call it a bottom yet. But what we see is encouraging. So overall, stable position, signs of stabilization here and there. Of course, ahead of us still, of course, challenging market but we are positioning ourselves for a rebound. We will continue to outperform markets. It's our strong conviction. And again, day-after-day, puts us closer to the rebound that is going to come.
Operator: The next question is from Andy Grobler with BNP Paribas.
Andrew Grobler: Three from me, if I may. Firstly, Denis, potentially one for you, just following up on the previous answer. You said in technology, you saw signs of potential stabilization which is kind of a couple of steps before stabilization. Could you just talk through what those early signs are? Secondly, just on FESCO, its profitability has moved around a fair bit on a quarterly basis. What is the run rate we should expect going forward? And then thirdly, on training, again pretty weak during the quarter. What are you seeing in terms of pipeline? And I suppose what I'm getting to there is, are clients beginning to think about upping their training spend and quotas, given shortages of labor continue and the kind of the need to adapt into the future?
Denis Machuel: Thanks Andy. So with regards to the tech piece, the tech staffing piece, yes, it's -- again, I'm cautious because we're still down, the market is still down in the U.S. And this is where we have our biggest base for tech staffing. However, we've seen here and there some clients starting to rethink their access to tech staffing. And so again, too early to call it a bottom but the mood that we hear from our clients is slightly more positive in several places. There's also which is also a good sign, our consulting business is 39% -- delivering 49% growth this quarter in the U.S. Overall, our consulting business is growing 5%. So that's pretty good, okay? We also believe that the AI demand on which Akkodis is very well positioned is going to fuel future demand. So again, very difficult to say but I'm more positive on this one than I was a couple of quarters ago. Again, too early to call it a rebound but more positive, I would say, on the outlook.
Coram Williams: Let me pick up on FESCO. And then I suspect Denis will come back on training and the pipeline. I mean, before we get into the moving parts, I think it's really important to recognize that the FESCO JV is a really good business. This is a market with significant opportunities. We see very good growth in that business over a long period of time. And because of our positioning with a partner, we actually have a much stronger position than any of the other international players. So our exposure to that market is, I think, a real positive. Like a lot of countries, China does incentivize employment. And we do benefit from payments relating to that. In the past, they've been pretty steady in terms of coming through in Q2. They started to move around a bit last year. They actually came in Q1. And you saw that we saw €16 million last year whereas it was more like €5 million this year. That gives you a sense of the differential. And I would expect those payments to come through later in the year, so more back-end loaded. You could build them into your forecast towards the end of the year. So, I hope that gives you a sense of the impact. And please do remember the importance of that market and the strength of our position because it is a really good business.
Denis Machuel: And with regards to training, it's true that overall, our -- at the moment, our revenues are flat. However, what do we see? First of all, of course, the macros do not help companies to heavily invest in training. However, we see good traction, exactly to your point, on profiles that are short on the market. And we are accompanying our clients on that. I'm talking about, for example, what we put in place with several carmakers around training their people for the electric vehicle transition. We see more and more traction on AI. And we've been actually advocating a lot. We recently did a survey, around 2,000 executives, around their approach to gen AI. And many of the executives say, "We're going to recruit on the market." Well, they won't find the people. So that's why we're extremely active to -- with General Assembly, with Akkodis Academy to train and we have quite a good pipeline on that, to train people on gen AI. So again, macros do not help. But we believe that we can have better traction coming in the coming quarter on these specific welders, for example, forklift truck drivers. We have created our own truck drivers' academy to support that. So there are places here and there where we can have traction.
Operator: The next question is from Simona Sarli with Bank of America.
Simona Sarli: I have three. So one is, indeed, a follow-up related to the survey that you published in April. And in this survey, you mentioned that 41% of business leaders believe that within 5 years, they will employ fewer people because of artificial intelligence. So if you can please elaborate on the potential net impact that you see for the industry, so both opportunities in trainings but also potentially lower people overall being employed and also what it could be in the medium term, the SG&A savings for you. The second question is related to DSO and free cash flow evolution in Q2 and through the year. If you could please elaborate a little bit more what we should expect on that front and also if the increase in DSO in Q1 was purely related to the timing that you mentioned around some receivables and payables. And then lastly, on exceptionals which were lower than expected in Q1, how should we think about one-offs for Q2 and if anything changes in terms of guidance for the full year?
Denis Machuel: Thank you, Simona. So on your question on gen AI, yes, I think the survey it's quite interesting in terms of how leaders envisage the transformation, I think. So nobody has a crystal ball on what's going to happen, okay? We know that gen AI will improve productivity and then possibly have an impact on people. At the same time, we know that new profiles will be created. New jobs will be created. And some employers will reduce their staff. But it will create a new industry, just like the digital revolution has created new companies, new industries, new jobs massively, okay? So where will the balance land? It's hard to say at the moment and nobody really knows. We believe that more or less things will be balanced. But we see, for us, a big opportunity. If I look externally in terms of the opportunities, there's going to be, as I was mentioning earlier, the massive need to train people, to have people ready. And this is what we do for a living. We prepare people for the future. We are anchored in the employability. And we have a massive action in terms of transferring people from one sector to another taking skills. We move from a job-based economy to a skills-based economy. And that, we can play a massive role. So for us, accompanying our clients in this transition is a massive opportunity for us externally. Now internally, we are also very positive in terms of what it can bring to our business. We have a very structured and deliberate approach to gen AI. We have a clear vision on where and why we are investing. We know that we can improve client experience. We know we can improve candidate experience. We know that we can improve recruiter productivity. And we have use cases that we can scale. And the positive results that we see on the several use cases show that we can have a double-digit percentage improvement in terms of productivity and efficiency. So it's too early to really model the impact at scale. But we are embarking very positively. And part of our path to our 6% margin target is going to be fed by this gen AI productivity improvement, so very positive on this.
Coram Williams: Let me pick up on your second and third question, Simona. So on cash, I mean, I want to be clear, we're very pleased with the cash performance in Q1. We saw improvements in operating cash flow, driven by a €70 million improvement in working capital. And we saw further improvements in free cash flow because of the lower CapEx. And to your point, that improvement in operating cash flow was achieved despite a calendar which worked against us. Because as we know, the Easter fell on the quarter end which always has an impact on the timing and the volume of collections. So to be delivering working capital improvements even with a calendar that worked against us is a good outcome. In terms of DSO specifically, the majority of that 1-day movement is purely calendar-related. And I will also flag that in Q2, we'll probably see something similar. Because actually, again the quarter falls or the quarter end falls on a weekend. But there is nothing structural happening to our DSO. We have real focus on working capital and cash flow. We've put incentives in place to drive that which we've talked about previously. And if I think about the shape of the year in terms of leverage, the 2.7x that we've delivered in Q1 is exactly in line with our expectations. Obviously, we pay the dividend in Q2. So that number will notch up. But we always have a good H2. I mentioned in my script that it's the cash-in period for us. And I think you can see that we are really focused on delivering additional operating cash flow. So the clear plan to deleverage is supported by productivity improvements, G&A savings as that really flows through in the second half, lower one-offs and lower CapEx. And we're absolutely committed to deleveraging organically.
Simona Sarli: And then there was the exceptionals.
Coram Williams: Yes, just on one-offs, sorry, I was so focused on my deleveraging points. So just to pick up on the one-offs, we've given you very clear guidance in the back of the slide deck for €40 million of one-off costs in Q2. As we've talked about before, the shape of our G&A savings program is very much that the last set of actions that we are taking are weighted towards the back end of Q2. So you'll see that €40 million come through. And then you'll see us achieve the run rate of €150 million by the mid-year. And we will see real further year-on-year benefits in G&A savings in Q3 and Q4.
Operator: The next question is from Afonso Osorio with Barclays.
Afonso Osorio: I have two, please. The first one in Germany, can you expand a little bit on the differences between the trading in Adecco business versus the Akkodis? Because Adecco, I see, you're growing at plus 8% in Germany and the Akkodis business is declining minus 3%. So is this mostly attributed to the changes in strategy perhaps and in sickness rate? Or is there something else going on here? I just thought that if auto continues to be a tailwind, for example, at Adecco, that will be a positive for Akkodis as well since some of the end markets are the same. So any thoughts here are appreciated. And then secondly, in France and to double [ph] on Suhasini's question, can you expand a little bit on your decision to exit those outsourcing contracts? My question is, obviously, why now? And I appreciate that you're not going to disclose the actual targets set internally for these businesses. But were these contracts loss-making perhaps? And if so, for how long were those loss-making or below target, let's put it that way? So those are my two questions, please.
Denis Machuel: Great. Thank you, Afonso. So with regards to Germany, in Adecco, we've been very supported by logistics and autos. And this is particularly because on the manufacturing side, they had to produce a lot of cars. And then we've been supported by this massive production of cars that's still the consequence of COVID and the chips crisis. And then they had so many -- they had a big backlog. So we have been really surfing on that which also tells us that you can anticipate more softness on this part in Germany for Adecco. Akkodis, on the other side, yes, we have a shift, as we explained before, into the repositioning into Smart Industry which has had an impact. Akkodis is also more in early stage of the R&D development of cars. And at this moment in Germany, there's really sort of a reflection on how they are going to adjust to particularly the competition of Chinese cars. So they are a little bit of a hold position in terms of how do we -- how do they adjust the design of their future cars. So they are a little bit on hold on this side which has an impact on the Akkodis activities. We also had higher sickness rates that impacted Akkodis in Q1. And it was -- it's a general phenomenon in Germany. So two different types of businesses explain the difference in performance. If I look a little bit ahead, we can anticipate a bit more of a softness for Adecco. And of course, as R&D investment restart, particularly in the auto industry, in the next few quarters, then Akkodis can pick up again.
Coram Williams: And on the French decision to exit the outsourcing contract, I don't want us to overstate this. This is an ongoing review of the portfolio which we undertake across all of our businesses. And where we have contracts that are not reaching our targets, we act decisively. That's the way that we operate. We're calling them out simply to give you transparency of the impact of the exit costs on the margin. But in terms of the impact on the business on revenues and profitability going forward, it's very immaterial.
Operator: The next question is from Remi Grenu with Morgan Stanley.
Remi Grenu: The first one is on the 50 basis points decline in the temp placing gross margin. I understand you're flagging that it's due to a mix effect. But any more flavor on that would be appreciated to understand also if you are experiencing any pocket of pricing pressure in any country, so a discussion around that. The second question is on the evolution of headcount. I think it was down 6% in Q1. I'm just trying to understand, given what you're seeing today, how would you expect that to evolve over Q2? Or what would be the policy in terms of headcount, keeping it stable, given you're seeing some early signs of stabilization as you were saying? That's the second question. And the third one is probably a little bit more long term and strategy. I mean, just picking up on the AI product that you presented in the slides, I'm just wondering if you started to discuss that with clients. And what's been the answer from their side, both in terms of what could it mean for Adecco in terms of market share gains but also in terms of pricing if it has changed anything in the discussion or the negotiation with clients?
Coram Williams: No problem, Remi, I'll take the first two and then Denis will pick up on the AI question. On the gross margin, we were very clear in our guidance for Q1 that we would see similar trends to Q4. And in fact, overall, we were up 20 basis points sequentially. And we think the 19.8% is a healthy level of gross margin in this particular environment. In the short term, there is a mix effect. And as you mentioned, 50 basis points of that is in flex. It's largely about the mix within Adecco, so geography, sector and the type of client. But let me just -- I gave a few examples in the script. But let me unpick that a little bit. In terms of geography, the areas of growth that we're seeing, like EEMENA, LatAm, somewhere like Spain, typically have slightly lower gross margins whereas the businesses that are not growing as fast typically have slightly higher gross margins. We are gaining share across the board. So it's not that we're winning business in places where we've got lower gross margin, it's just the particular mix of growth. In terms of sectors, I think we flagged for a number of quarters that we've seen good growth in logistics, up 8% in Q1. We've also seen good growth again in auto, slightly slower but still up 3%. And those again are slightly lower gross margin sectors. They're still good business for us. And the skew in terms of clients is that we've seen a bit more growth in large and on-site than we have in SMEs. So this is all about the particular snapshot of the mix of business that we have right now. There is no structural challenge to the gross margin. And to your point about pricing, pricing is firm. And again, the data point that I think is really important here is the spread between bill rate and pay rate which was up 3% in the Adecco G7. So we are still getting the benefits of our dynamic pricing strategy. There's also obviously a mix effect at the GBU level, particularly given what's happening in Akkodis and LHH on the flex and the staffing sides, given that they are typically higher gross margin. So there's lots of different effects. But it is all about the snapshot of the business that we have right now. On headcount, I think you can see, we've had a very granular approach to the way that we manage this for a number of quarters. We adjust our selling headcount according to what we see in terms of the prospects, the growth that we can drive. And we're very dynamic in terms of the way that we do that. And you see it because our gross profit per selling FTE in Adecco is up again this quarter. I think it's difficult for that reason to generalize on what's going to happen to headcount. I would expect us to continue to manage selling headcount dynamically. The area that I would expect headcount to continue to decline is on G&A because obviously there are more actions that we're going to take. I mentioned that we're going to see the further G&A actions get taken towards the end of Q2 relating to the reorganizations that Denis described in his introduction. That will drive a reduction in G&A. Denis, AI?
Denis Machuel: Yes. So as I said, we are very, very positive in what we can bring to our business. And you talk about market share gains and pricing. So pricing is linked to the value that you create. And we believe that we can create more value and I'll tell you why. And this is going to help us also win market share. So if I take each of the GBUs. In Adecco, gen AI will help us be more efficient, more productive, more relevant to our clients, improve fill rates. We've seen that whenever we use gen AI, we've been able to improve our fill rate in the use cases that have put in place. And so that provides us a lot of capacity to be more efficient, then deliver better to our clients and, hence, gaining share. In Akkodis, we have an excellent traction thanks to our AI -- we have a dedicated team in several places in the world that is delivering AI expertise to clients. So of course, we're really discussing with our clients. And we are involved in several AI projects, high-value projects, where our experts are, yes, I would say, priced at a very good rates to -- on the projects that we embark with our clients on. And in LHH, we have embedded our AI in Career Transition. And we have platform that's called Career Canvas that brings a lot of good insights for people who are transitioning their career. And the faster we provide insights and guidance, the faster they were back to work, the better the margins for us. And in EZRA, we've embedded AI also called Cai [ph] in our EZRA platform, in our coaching platform. And this enhances the value that we bring to our -- the people we coach, together with efficiency, of course, in the way we coach. So this is also bringing differentiation and efficiency. And of course, in Recruitment Solutions, just like in Adecco, when recruiters are more productive, the clients see the impact because we're providing the people faster, we're providing better people faster. So all these elements make us very confident that we can sustain our pricing by higher value and gain share because we are more efficient.
Operator: Next question is from Konrad Zomer with ABN AMRO-ODDO BHF.
Konrad Zomer: I have two, please. The first one is on your gross margin development. Can you confirm that of the 100 basis point decline year-on-year, 50 to 60 was because of the migration of certain costs from SG&A to cost of goods sold? And the second question, I'd like to come back on the comments you made on leverage, Coram. I know that the firm is firmly committed to further deleverage. And I think your operational performance in Q1 was actually quite good. And it makes me think, if you're going to see improving markets, you're going to have a slightly higher working capital requirement. CapEx might nudge up. Q2 is not necessarily going to be better than Q1. I struggle to see why leverage would actually come down this year, particularly because in Q1, it went up versus the year-end. So I could really be helped with a few more comments to encourage us to believe that leverage will come down this year.
Coram Williams: No problem. Let me take both of those, Konrad. Just to be clear, on the gross margin, the 100 basis points is on a restated basis. So it is the underlying movement year-on-year. So it's not -- but half of it is because of the new accounting policies. And just to remind you, I mean, obviously, there is the bridge and there is a recap in the slides. But we've basically seen of that 100 bps, flex minus 50 because of the mix in Adecco and also at GBU level; perm minus 40 because of the ongoing market challenges; and outsourcing minus 20, largely because of MSP and RPO and because of those Adecco contract exits, so just to frame it. And to be clear on Q2, we would expect our gross margin to be broadly in line with Q1, so very similar trends. And remember that last year's Q2 was when we started to see the mix impact on gross margin. So whilst we'd expect it to be broadly in line with the 19.8%, that means a much smaller year-on-year movement, okay? On leverage, we are pleased with the operational performance in Q1. It was the point I made that despite a calendar which was impacted by Easter, we still see working capital improvements. And we also see a free cash flow improvement driven by CapEx. To give you confidence, I do understand the point but typically, Q2 does rise. So we would expect leverage to go up in Q2 because of the dividend payment. But we would then expect a substantial improvement in leverage by year-end sequentially. Because you get cash in, in H2, it's typically our cash-generative half. We would have pulled all of the levers on the G&A savings by the end of that quarter 2. So that means you're, for the first time, seeing the full run rate of the €150 million in H2. Our one-offs come down because we're finishing the G&A program. And CapEx, actually you can already see, is trending lower. Sure, there will be a working capital impact if growth is there. But equally, that will drive operating leverage. So we are confident that we can delever over time.
Denis Machuel: And just in case there was any doubt, the whole company, the whole management is focused on these -- on cash. 15% of the Executive Committee incentive is based on operating cash flow. And in countries, the Country President and the Head of the businesses are incentivized on cash; and so there is a full alignment. And I can tell you that Coram and I keep -- we make sure that everybody is focused on the different levers on CapEx, on DSO, on payment terms. And this is really very, very high in everybody's agenda across the board.
Konrad Zomer: No, thanks for that extensive answer. I mean, I understand the focus and I understand the commitment. The trend of the actual leverage is going the other way. And I understand that it's a seasonal impact to Q1, et cetera. But maybe, I mean, last year, for the whole year, you ended at 2.5, only just. Can you -- do you think that based on what you see now that your leverage for the full year 2024 will be lower than that level in 2023?
Coram Williams: We are really focused on making sure that we deleverage over time. And to the points that I made, productivity savings, G&A reductions, lower one-offs, lower CapEx, it all helps. And that is the clear plan that we've got. And to your point about Q2, yes, the leverage will rise. But that is the pattern of the business. And we're very focused on making sure that we demonstrate that the clear plan for deleveraging comes through in the second half.
Operator: The next question is from Gian-Marco Werro with ZKB.
Gian-Marco Werro: I have one question on the competition for LHH and then a second question on potential real estate disposals. The first one, you mentioned that you see a good pipeline regarding your offering also for training and upskilling in Lee Hecht Harrison. But how do you currently assess also the competition, especially for free courses and other competitive courses that are web-based and are offered currently to some of your potential B2C clients also? Then the real estate disposals there, I might remember correctly that you said that the AKKA business came with several real estate assets also. We saw already some disposals recently. But is there more to come in the next 2 quarters? And if so, what potential cash inflow do you expect from those real estate disposals?
Denis Machuel: Right. Yes, we see promising things yet, of course, to be fully converted. But I think we see good pipeline. If I talk about General Assembly, particularly where we see the best traction is in B2B and not in B2C. And we have some clients are very interested mainly by the higher trend in the employee approach that we have in GA. And that's where we see the biggest potential. Let me be clear about all these free training courses, et cetera. We're not -- this is not the market we operate in. We train for jobs, right? What we do is we provide a training when there's a job at hand. That's our positioning. So that's the unique value proposition that we have. We don't train for the sake of training. We train because then people are immediately activated and enrolled in a particular job. So that's where -- we don't compete at all with people that take a training course hoping that something is going to happen. And that makes a significant difference in our value proposition.
Coram Williams: And then Gian-Marco, on the real estate disposals, AKKA did come with a number of properties. And we have trimmed that portfolio partly because of the synergies that we're able to achieve with the existing business. And I think we called out some relatively modest proceeds in the second half of last year. There's no major further real estate restructuring to come. Clearly, we'll keep an eye on the portfolio. If we see an opportunity, we'll take it. But at the moment, I wouldn't guide you to thinking that there's more to come.
Operator: The last question comes from the line of Rory McKenzie with UBS.
Rory McKenzie: The first one is just a follow-up on what you said on headcount. It's just quite hard to match your comments about early stabilization and dynamic adjustments with what looks like an increasing pace of cuts. Now I think there was a 4.5% reduction in headcount from December to March compared to only 1% to 2% in each of the previous quarters. Could you just tell us what selling headcount is today and how that changed in the quarter and how you are positioning that for a rebound? And then secondly, more broadly on SG&A, G&A savings are ramping up, as you said. But total SG&A is only minus 6% year-over-year, in line with the 6% reduction in average headcount. So what are the other offsetting cost inflation items? And will they remain the same upward pressures throughout this year?
Coram Williams: I'll take both of those, Rory. On the headcount, our headcount is down 6% year-on-year. Our G&A savings are down 12%. And within that, if you're looking for a steer on G&A versus selling, G&A would be higher than the 6% and selling would be lower than the 6%. I'm not breaking out all of the detail. I think the key point here is that the headcount is being driven by the G&A savings program and there is more -- there are more actions to take towards the end of the second quarter. That's when we complete the back-office reorganization that Denis mentioned. And therefore, I would expect a continued downward trend on G&A headcount. I think, as we mentioned, the selling piece will be more dynamic. It's very much going to depend what we see. And yes, there are areas where we are protecting capacity, so for example, professional recruitment. And as I mentioned and Denis mentioned, we've seen signs of stabilization in the U.S. sequentially. We're also protecting capacity in Adecco U.S. And we've made a very modest targeted investment in the branch network. So I'm not avoiding the question. It is just a very dynamic environment, where we manage the headcount according to the situation that we see. And the kind of increased momentum on headcount for the group is being driven by the G&A savings program. In terms of SG&A, I think at this stage, it starts to make more sense to look at the movement versus '22. Because as we've said, the €150 million target is versus the baseline. And the reason for that is that at this point last year, we started to take actions. And so you don't see an accumulated trend on the growth rate versus last year. But you do see the trend versus '22. And that's why the minus 13% versus '22 on G&A is so important because it shows you that we're on track for our 15% reduction overall. And please also remember there is seasonality in our G&A cost base. So we do see a little bit more marketing spend in Q2. We do see a little bit more commissions simply because the volumes on the business rise and some of our merit increases go through in Q2. So there is seasonality but focus on versus the baseline of '22 and the percentage of sales, the modest improvement that we're guiding to. We are very much on track with our €150 million.
Operator: There are no more questions at this time.
Denis Machuel: All right. Well, thank you very much for having been with us. I must say that we are all very confident in our capacity to execute on top line and market share gains, on cost control, on profitability management, on cash generation and deleverage. We are rock solid with a clear positioning, with a unique portfolio of services, with highly motivated teams. And we're ready for the rebound when it comes; and every day gets us closer to this rebound. So thanks again for having been with us and looking forward to our next interaction. Thank you. Bye.